Operator: Good day everyone. Welcome to the Minas Buenaventura Third Quarter Conference Call. As a reminder, today's call is being recorded. At this time for opening remarks and introductions, I'd like to turn the call over to Mr. Pete Majeski, with iAdvise Corporate Communications. Please go ahead, sir.
Pete Majeski: Thank you, Lisa, and good morning everyone. Welcome to Compania de Minas Buenaventura's third quarter 2006 Earnings Call. Joining us today from Lima, are Mr. Roque Benavides, Chief Executive Officer; Mr. Carlos Galvez, Chief Financial Officer; and other members of Buenaventura's senior management. They will be discussing Buenaventura's results for the press release distributed yesterday. If you've not yet received a copy, please call us in New York at 212-406-3694 and we will e-mail it you immediately. Before we begin, I would like to remind you that any forward-looking statements made today by Buenaventura's management are subject to various conditions and may differ materially. These conditions are outlined in the last page of the company's press release in the disclaimer, and we ask that you refer to it for guidance. It is now my pleasure to turn the call over to Mr. Roque Benavides. Mr. Benavides, you may begin.
Roque Benavides: Good morning and welcome to all of you. This quarter Buenaventura's net income was $82.4 million, or $0.65 per ADS, which represents an increase of 66% when compared to third quarter '05. Operating income was $67.6 million, 241% higher than the figure recorded in the third quarter '05. Total EBITDA was $189 million, which represented a 49% increase when compared to the third quarter '05. EBITDA for Buenaventura's direct operations was $65 million, $172 million higher than the third quarter '05. In terms of the financial highlights, it's important to mention that our total revenues were increased quarter-to-quarter on a yearly basis 83%, 241% operating income and EBITDA from our direct operations 172%. In the sense of EBITDA, including Yanacocha and Cerro Verde, the increase was of 49% and net income 66%. Earnings per share increased 66% quarter-to-quarter on a yearly basis. In terms of our operating highlights, our net sales increased quarter-to-quarter 95%. Average realized price was decreased 3% quarter-to-quarter and the average realized price, when including our Yanacocha participation, increased 28% quarter-to-quarter on a yearly basis. The average realized price at the end of the day was 63% increase and the average -- sorry, this is for silver and -- or less 29%, 178% increase in terms of zinc. In terms of sales content, we have 22% increase for -- on a quarterly basis; including Yanacocha, a reduction of 16% and, of course, we have increased in terms of silver, lead and zinc. In terms of our production and operating costs, we have increased our equity production by 8% in terms of gold; including Yanacocha, reduction of 14%, and we have increased in silver and lead with small reduction in zinc. All of our operations have had an impact in terms of our cost due to the exchange rate in Peruvian Nuevos Soles, essentially in Uchucchacua the increase has been substantial due to a number of aspects. First of all, the exchange rate; secondly, the higher supply consumption, mainly reagent for the new cyanidation plant and support materials. As you know, the cyanidation plant started this quarter, this past quarter, and this requires a number of adjustments and this also had an impact on the cost of these mines. We have had the higher contractor expenses for preparation of a new area of the mine. We want a higher area where we have built the raise borer and raise climber that are building new facilities, and new infrastructure in the mines. And then, higher commercial treatment charge escalated and deductions explained by higher zinc and silver prices, partially offset by higher lead and zinc by-product credits. In terms of Antapite, we have also had a somewhat higher cost, due essentially to higher prices for mine contractor labor. Certainly, the Colquijirca mine within the Brocal company have had 4% increase in terms of zinc production that accompanied with the zinc price have had an excellent quarter and has contributed to the result we are showing this morning. In terms of operating expenses, we are reporting for the third quarter $8.4 million, 17% decrease compared to 10.1 million reported in the third quarter '05. This decrease was mainly due to a lower long-term compensation program provision. In terms of our exploration cost, in non-operational mine sites during third quarter '06 were $8.6 million, a 28% increase compared to 6.7 million in the third quarter '05. Cesar Vidal, our Chief Exploration Geologist is with us and he can comment on that later. In terms of the share in affiliated company, Buenaventura net income from non-consolidated affiliates was $64.8 million in the third quarter '06, an increase of 17% when compared to $55.5 million reported in the third quarter '05. This increase is explained by higher contribution from Cerro Verde $22.6 million. Yanacocha contribution for this quarter was $41.6 million. For the nine-month period of 2006, income from non-consolidated affiliates was $273 million, an increase of 83% compared to the $149 million reported in 2005. At Yanacocha in the third quarter '06, gold production was 605,000 ounces of gold, a decrease of 21% when compared to third quarter '05. Gold production for the first nine-month period of 2006 was 2,156,000 ounces, a decrease of 5% when compared to the 2,268,000 ounces reported in the first nine months of 2005. It is important to mention that the company continues to project full-year production at 2.6 million ounces. Gold cash cost at Yanacocha during third quarter '06 was $217 per ounce, which represented a 47% increase compared to the gold cash cost of $148 in third quarter '05. This is explained by an increase in consumable prices, as well as higher workers participation and royalties to third parties. Turning to our total net income. This quarter, Buenaventura's net income was $82.4 million, representing $0.65 per ADS, a 66% increase when compared to $49.5 million reported in the third quarter '05. This was mainly due to higher operating revenues, as well as the important contribution from Cerro Verde, which offset the decrease in Yanacocha's net income. Accumulated net income for 2006 was $350 million, an increase of 85% when compared to $189 million in 2005. We have some exploration results that you have received through press release, mainly in Tantahuatay and El Milagro among others, and Cesar Vidal can comment on that later when we have some questions from you people. In terms of project development, it's important to mention that at Uchucchacua, the deepening of the Carmen and Socorro mine and the construction of the Master Shaft from 4,060 meter level to 3,900 meter level is approximately 25% complete. The specialized contractor for the project was selected in August. Completion is expected by the second quarter '08, with a total investment of $10.3 million. At Orcopampa, the auxiliary shaft to improve ventilation and ore transport in the Prometida area commenced during the second quarter and is currently 13% completed. The specialized contractor for the construction has been selected and total drifting at the end of the third quarter '06 was 380 meters. Total expected investment is $3.7 million. The expansion of the treatment plant to increase capacity from 1,200 metric tons to 1,800 metric tons commenced in May '06, while the completion date has been extended to December 2006. This expansion considers the addition of new grinding and milling. At the end of third quarter '06, the project is 50% completed. The total expected investment is $4.7 million. The expansion of the tailing dam Number 4 commenced in July. Completion is expected by the end of 2006, with a total investment of $5.9 million. In Marcapunta, within Brocal, in August exploration activities at the Marcapunta Oeste project were suspended due to flooding. Pumping and drainage are currently in progress. It is important to mention that the flooding will only affect the underground activities of the Marcapunta Oeste project. The surface drilling program at Marcapunta Oeste will not be affected, nor will be the exploitation activities at Colquijirca's current operation, or the exploration activities at Marcapunta Norte area. It is important also to mention that the new concentration plant for copper, the new facility is finished, but we are waiting for permitting for the tailing pond for the copper processing plant. This is the only thing that is refraining us from starting production of copper from Brocal. Yesterday's Board meeting approved the financial statement ended September 30, 2006, declared a cash dividend of $0.25 per share, or ADS, equivalent to $0.80 of sols per ADS at today's exchange rate; to be paid in US currency on November 30, 2006, to shareholders of record on November 17, 2006, who purchased shares until November 14, 2006. It is also important to mention that we are calling for an extraordinary shareholders meeting to be held on December the 4th, to approve first the merger by absorption of Minas Poracota, where we exercised an option to acquire 25% from Teck Cominco, and to approve through shareholders meeting the voluntary contribution for social responsibility expenses that has been negotiated with the Government of Peru. Also to mention that we are going to held shareholders meeting on November the 2nd, and this is a formal one just to approve the merger from -- with INMINSUR. As you know, we bought the 22% remaining shares from all their investors and today Buenaventura is owner of 100% of INMINSUR. With this, may I pass to any questions that you may have. Thank you.
Operator: (Operator Instructions). We will take our first question from Andrea Weinberg with Merrill Lynch.
Andrea Weinberg - Merrill Lynch: Hi, Roque and Carlos. Good morning. First question is on Tintaya, is very good news, is very good to show that you have been able to make progress in the exploration there. I just wanted to have an update of, what could be the potential timeline on the development of the project? And also, if you could give us an update on La Zanja would be very helpful?
Roque Benavides: I suppose that you mentioned Tantahuatay, you said Tintaya.
Andrea Weinberg - Merrill Lynch: Tantahuatay. I am sorry, Tantahuatay.
Roque Benavides: That’s alright, that’s another company.
Andrea Weinberg - Merrill Lynch: Yes, I am sorry.
Roque Benavides: The thing is we have been very, very careful in terms of Tantahuatay and La Zanja in terms of social acceptance, as they call it now. The important thing is that we are drilling in both projects. We have had no confrontation at all with local communities. It is important to mention that in the current elections, municipal and regional elections in Cajamarca, no candidate has mentioned a word against or in favor of mining. This is a different environment to what we have lived in past elections. We believe that the situation in Cajamarca and elsewhere in Peru is improving due to the effort that mining companies are doing. To ask us to give you an exact date when we start building the project is difficult to answer. It will not be right for us to say at this point in time. We have to evaluate the social front in order to answer that. The fact of the matter is that we are having good results in both La Zanja and Tantahuatay.
Andrea Weinberg - Merrill Lynch: Okay. And just really quick on silver field; silver production was really high, but there is -- it seems like there were some shipment delays in the quarter, because silver fields were a lot lower than production, any explanation there?
Carlos Galvez: Hi, how are you? This is Carlos. Well, not -- there was not actually a delay. It's only the way we formed the rocks to deliver. Remember that those are concentrate, so we have to deliver in several volumes. So, nothing special.
Andrea Weinberg - Merrill Lynch: Okay, thank you.
Operator: We will go next to John Bridges with J.P. Morgan.
John Bridges - J.P. Morgan: Hi, Roque, everybody. What was the second vote to the shareholder meeting, I got the first one, something with the government?
Roque Benavides: It is the voluntary contribution, you see, for the benefit of everybody. When this new administration got in power, they claim -- they knew that they could not increase taxation because of the tax stability contract. So, the alternative that they thought of and negotiated was, that the companies voluntarily contribute to social program. This new contribution essentially is in excess of 3% of net sales for those that do not have tax stabilization -- yes, that do not have tax stabilization contracts, such as southern Peru and Buenaventura. And the same amount, but the best thing, whatever royalties are paid for those that -- sorry, the opposite way. For those that do not have a tax stabilization contract, it's in excess of 3% of net sales. For those that do not have tax stabilization contracts -- what is it that -- the -- Carlos, why don't you clarify that.
Carlos Galvez: The contribution is for those companies that passed tax stabilization agreements.
Roque Benavides: Yes.
Carlos Galvez: They will pay 3.75% of the after-tax profit. I will take the opportunity to explain that we have already included in our report $19 million omission within Yanacocha financial statements for this purpose. That means that the equity share of Buenaventura is 8 million soles. You can calculate the percentage of how many [times today] we are. In the case of the companies that do not have tax stabilization, really the contribution is exactly the same. But, we can take away the after-tax sales of the royalties contribution up to a 2% of these net profit. So, this is basically the proportion.
John Bridges - J.P. Morgan: Okay, which seems to having beneficial effects on relationships already. And then, the cost structure at Uchucchacua, you say it's moved up, but where do you expect the cost structure at Uchucchacua to settle?
Carlos Galvez: Well, basically we are trying to stabilize our cyanidation process in the new plant. We are basically fine tuning there. I know we have quoting pretty high consumption of supplies. So as compared with silver then we have to recover in the profit, and this is a component that is improving -- increasing, sorry, these cash costs. We expect to surpass this issue in 60 days on that.
John Bridges - J.P. Morgan: So, where do you expect -- what sort of target have you given them?
Carlos Galvez: Our target cost is in $4 per pound.
John Bridges - J.P. Morgan: Okay, excellent. Thanks a lot, Carlos, good luck.
Operator: We'll go next to Rafael Urquía from Citigroup.
Rafael Urquía - Citigroup: Yes, good morning, everyone. Could you please elaborate more on the expected economic benefit from the politics that you mentioned in your press release, basically the Carmen and Socorro mines [book] to Uchucchacua and also the cyanidation plant and the expansion of the tailing dam at Orcopampa, please?
Roque Benavides: Well, the thing is, Uchucchacua requires to deepen the mine. The mineralization deepens and we have to build all the infrastructure now that we have the resources and, of course, this is permitted to maintain the operation in the right way. We also are increasing our capacity to treat different type of ores, essentially there are all type of ores in the area of Uchucchacua, and these new facilities -- these new cyanidation plants will also contribute to treat those ores. In addition to that, we are going to increase the recovery rate at the Uchucchacua mine by processing those tailings through these new facilities, and in addition to that, the old tailings could be treated in the future. So, it is, I would say, we are in an adjustment process, but we are looking for stable and long-term production for the Uchucchacua mine. In the case of Orcopampa, as you know, we have also increased somewhat our capacity, and we needed to build additional tailing facilities and that is the reason why we are investing in that project. Is there anything other that you asked? Sorry.
Rafael Urquía - Citigroup: That's basically, but in the case of the Carmen and Socorro mines, what is the importance of these mines in terms of increased production?
Roque Benavides: Carmen and Socorro mines in Uchucchacua are essentially the main areas of the mine that has been in exploitation for many years. It is where we get most of our ore, almost 100% these days, and essentially if we want to continue operating in Uchucchacua, we need to deepen the shafts in these two mines.
Rafael Urquía - Citigroup: So, the work there -- [contract] being conducted there, are in order to maintain production at growing [label] or to maintain the life of mine as grown labels?
Roque Benavides: Essentially, we are not forcing the mine. We will like to have the same level of production and they will increase it little bit. But we have to do all this infrastructure in order to maintain production at that mine.
Rafael Urquía - Citigroup: Okay. And how long would you expect all these works to continue?
Roque Benavides: As I said, in 2008 we will be finished with the sinking of the shaft, but I would say that contractor's work in terms of ramps and other facilities will continue at a lower level, but will continue for the life of the mine.
Rafael Urquía - Citigroup: Okay. Thank you very much.
Operator: We will go to Victor Flores with HSBC.
Victor Flores - HSBC: Thanks, good morning. There's an item in the income statement of $9.2 million classified as other. Could you explain what that particular item was?
Carlos Galvez: Hi, Victor. Well, exactly this is a provision that we have made in terms of the reclamation. As you know, according to the [Peru and our] relation, we have to make provision for the work we have to carry out in order to shutdown our operation. This is something that we have to do toward the future, at the end of the life of the mine. But, we -- in the case of certain operations with -- we used life of mine such as Julcani and Recuperada that we are in the process, we have to make this provision, which is 9 million -- 8 and something million dollars.
Victor Flores - HSBC: Okay. Thank you. And then just going back to the earlier comment about the provision for the voluntary contribution. If I understood correctly, Minera Yanacocha had a $19 million provision during the quarter, which was reflected in your equity accounted earnings from that asset.
Carlos Galvez: That’s right. We have the royalty provision, the nine first months of -- against the nine first months of profit. So, the only thing to -- remains to be provisioned is for the next quarter results. These impacted, as I mentioned, about $0.07 per share our profit number.
Victor Flores - HSBC: Okay, great. Great, thank you. And if perhaps I could indulge you and get Cesar Vidal to give us a few comments on exploration, particularly the new discovery at El Milagro?
Cesar Vidal: Good morning, Victor. Certainly I am pleased to comment about the consulting me on the peaceful comment at the two of them. Relevant prospects that we have informed about, Tantahuatay, where we are doing the infill drilling of Cienaga, is giving us a good chance to improve the grades of the resource, will show you to fairly good drilling result all the way from surface. One was close to 90 meters at one and a half gram gold with high cyanide extraction, and the other one 120 meters, over 2 grams per ton of gold with close to 90% cyanide extraction. Those results are in the core of the system and are consistently higher than the average grades of the resource, as we announced that -- those will contribute to upgrade the resource. There is also a chance that a portion of the deposit will deepen further. We are drilling for deepen exploration of it and also that we can grow the products too. And El Milagro is a fairly new project. We have been working for 12 months there now and finally (inaudible) since we have consolidated the claims. There were two provisions that belongs to third party, since we have been negotiating, and finally we have them on board. And we have an aggressive drilling program at the moment with [Cerro], especially in the El Milagro zone itself. This is an area where there was some previous underground exploration in the late '60s, early '70s, turning significant and we are finding a natural and best expansion of this limestone replacement deposit with the Genoveva ore shoot. It is the first one that we are doing consistently at [20%]. We already have six intercepts. Three of those that we are showing in the press release, the perception for average risk of the Genoveva ore shoot is six meters and the grades will vary between 6 and 8% zinc, 1 and 4% lead, and anything from 1 to 10 for silver. We have done on two of these intercepts metallurgical test work. We find that we can easily get approx 60% zinc concentrates with 80% recovery and sulfation. The lead and silver will have to be recovered a little bit later with higher grade lead intercept, but we are very encouraged with this initial result. We are also building a road and we are doing our furnishing for next year so that we can start getting underground development as early as possible next year.
Victor Flores - HSBC: Great, thanks. One quick follow-up, from your launching prospective, could you give you us a sense of what El Milagro would compare to in terms of other known deposits?
Cesar Vidal: Our process analog in Peru would be [Mil] or Yanacocha.
Victor Flores - HSBC: Great, thank you very much.
Operator: We will go next to Geoff Stanley with BMO Capital Markets.
Geoff Stanley - BMO Capital Markets: Thank you very much, and good morning, gentlemen. My questions, some of the questions probably for Carlos initially. Can you tell me what the ETFs on the balance sheet, was about $60 million there, just wondering what kind of ETFs, are they gold or are they equity ETFs or --?
Carlos Galvez: Yes, we explained in the conference call when I (inaudible) in order to capture the opportunity cost to losses due to the fact that we have stretched our production to the extent that the price of gold was going up and up, we tried to put a curb on that. So, this is the main reason and both equivalent to when this was announced.
Geoff Stanley - BMO Capital Markets: Very good. I was late on the call there. And the nature of the short-term financial instruments?
Carlos Galvez: Well, this is just an investment that we have for the time being, because we have to make some decisions in terms of, well, paying out the cash dividend that we are just announcing today, and then we have to carry out several investments. So, in the short term, we are just buying some commercial papers with very high ratings, with high liquidity, just to get certain profitability in a way.
Geoff Stanley - BMO Capital Markets: Okay, very good. And perhaps move to more of an operating question. You have construction underway at a number of different places, Uchucchacua, Orcopampa, for example. Your silver, zinc and lead production was a little lower than your forecast, obviously there is two possible reasons for that. You fell a little bit short or perhaps we were a little bit optimistic. But I am just wondering if the construction is impeding production in the near term, and whether we are like to see that stabilizing at this current quarter, the next quarter or how construction is effecting production I suppose is the nature of the question?
Carlos Galvez: I don't think it's construction that is affecting production. I think, the grade or the pink ore from Uchucchacua have come a little bit lower than -- but we expect to have this increasing in the future. The same applies for silver. The deepening of the mine will permit us to increase production or at least maintain it at the normal levels that we were producing in the past. What is impeding the same level of productions or would explain this decrease is essentially the deepening of the mine, I would say.
Geoff Stanley - BMO Capital Markets: Okay, very good. So, we can expect a modest recovery in coming quarters then?
Carlos Galvez: Yes.
Geoff Stanley - BMO Capital Markets: All right, excellent. Thank you, very good, Carlos.
Operator: And we will go next to Paul Rosenberg with Bear Stearns.
Paul Rosenberg - Bear Stearns: Hi, good morning. I was wondering if you could give us an update on Poracota in terms of the ounces and cash cost as well.
Roque Benavides: We are certainly putting a lot of pressure and (inaudible) is at full speed. Let me pass it to Cesar Vidal, he can make a comment on Poracota.
Cesar Vidal: For Poracota, we are certainly moving from explorations made last year to development stage. The mine is being developed, reserves are being generated. We have close to a 1,000 tons of 10 gram per ton material on site, and we are starting to ship that to Orcopampa for storing, and we certainly need to differentiate those ore that can be treated with current facilities and it's only a fraction of deposit and those are ores that need an [auto place]. In terms of the [auto play's] definition, we have a consultant and we are budgeting for the future [auto place] construction, we have two companies one in South Africa and the other one in North America defining an [auto place] specific to the Poracota for us. Now that we have consolidated Poracota, all of this is certainly depended on us alone. And I can visualize some production from Poracota next year, from the --easily 3 million gold portions of this deposit. But I don’t see any [auto place] come at least in the next 12 months or 18 months. The [auto place] is a reality for maybe 2008.
Paul Rosenberg - Bear Stearns: In 2008, do you have -- how many ounces do you expect in 2008?
Cesar Vidal: The idea at Poracota is to produce in a full year 100,000 ounces.
Paul Rosenberg - Bear Stearns: Okay.
Operator: We'll go next to Jorge Rodriguez with Centura SAB.
Jorge Rodriguez - Centura SAB: Good morning. I have two questions. One is regarding the marketplace, I am not sure (inaudible). I wanted to know if the demonstration treatment plant was already operational. And my other question is regarding again cash cost, and if you could give us some insights regarding future cash costs? I see that there is projection of $255 of cost of goods sold per ounce and I wanted to know how this relates to the cash cost?
Carlos Galvez: In the case in Marcapunta, there were these floods in Marcapunta Norte, but we --
Roque Benavides: The question was about Marcapunta Norte, correct?
Jorge Rodriguez - Centura SAB: Exactly.
Roque Benavides: In Marcapunta Norte we have no problems. We have a mine that’s being opened up, it has been permitted and there has been already -- and mill is being permitted and we have had a trial test. We had good results. We produced 20% copper concentrate, 6% Arsenic, which is the maximum we can produce to sell it to [La Oria]. But at the moment we cannot make a continuous production line there because of the permit for the tailing disposal area. This is the tailing disposal area that has to be protected impermeable plastic on the base because it's an arsenical and we anticipate the permit to come out anytime now and then we would have 1,000 ton per day operation from Marcapunta Norte as a continuous one. With flat ores in Marcapunta West that’s a different position two kilometers away and we are doing the hydrological studies to understand where are the sources for that groundwater, which is clean water for your information, and when we have that hydrologic evaluation completed, we will have to pump and active again the ore bodies there.
Jorge Rodriguez - Centura SAB: [In terms of Yanacocha]?
Carlos Galvez: Well, in terms of Yanacocha's free [store] write-downs, well as you know we have been announcing [Cerro] with Newmont, that production in the year '07 will be about 1.6 million ounce. Basically, the cash cost per ton will be the same per ton, but we are going to reduce the grade and due to these what we expect is cash cost in the order of something between 300 and 320 depending on the price of gold. So you may take into account, Yanacocha includes within the cash cost not only the royalties, but depends on the type of the work participation and profit that depends on the price and so on. So we are going to get something in between 300 and 320.
Jorge Rodriguez - Centura SAB: Okay. Thank you.
Operator: (Operator Instructions). We will take a follow-up question from Rafael Urquía with Citigroup.
Rafael Urquía - Citigroup: Yes. Could you provide us with an update on your CapEx for next year?
Carlos Galvez: Yeah. Well, in terms of the CapEx for our current operations, the replacing equipment is in the order of $10 million. In addition to that, we have to configure by the statistic project that we have already mentioned altogether will be in the order of $45 million to $50 million. Talking about Buenaventura’s direct operation CapEx.
Rafael Urquía - Citigroup: Okay. Regarding the CapEx for Yanacocha and Cerro Verde, we could have any indication on that?
Carlos Galvez: In the case of Yanacocha, the CapEx is about $250 million per year and there is nothing special for next year in Yanacocha. In the case of Cerro Verde, after completing the projects, the CapEx will be about $25 to $30 million per year.
Rafael Urquía - Citigroup: And the completion date of the project, is it that for the end of this year, isn’t it?
Carlos Galvez: Well, we are waiting for the final word of the operators. The operator as you know is (inaudible). They are working -- have done an outstanding job, but they will announce when it is completed.
Rafael Urquía - Citigroup: They work on the 1,000 copper tons target for this year, is it still in place?
Carlos Galvez: Yes, well, this is the order of money to that of Cerro Verde's production, this is a formal side and this is a regular production, so it's okay.
Rafael Urquía - Citigroup: Okay, thank you.
Operator: We will take a follow-up question form John Bridges with J.P. Morgan.
John Bridges - J.P. Morgan: Hi, Roque and Carlos. I am going to say, that lowering the grade, does that increase your reserve price there, if you added some ounces?
Roque Benavides: Could you repeat your question please?
John Bridges - J.P. Morgan: Just wondering in La Zanja, you say that the grade was lower, then that would raise the cost per ounce. But has that increased the reserve base that you are working with there in La Zanja?
Cesar Vidal: John, good morning. This is Cesar Vidal.
John Bridges - J.P. Morgan: Hi Cesar.
Cesar Vidal: At La Zanja we have, as you may have followed on the Denver Gold Forum, we have found an extension to the south of San Pedro, which has given us an extra 200,000 ounces at a grade of 0.68 grams per ton. So, that will in fact bring the overall rate a little bit down, that's in balancing ounces is going up to 800,000 ounces.
John Bridges - J.P. Morgan: Okay.
Cesar Vidal: Does that answer your question?
John Bridges - J.P. Morgan: Yes, absolutely. I must have been missing in action at that stage.
Cesar Vidal: I was talking before about Tantahuatay, where we are infill drilling Cienaga, finding some higher grades than the average, an ounce, so we think that the average grades of the Tantahuatay offsite gold projects is likely to go up with these results.
John Bridges - J.P. Morgan: Okay. And just moving away from Tantahuatay, but based on your progress there. You were having issues getting surface rights for [San Degorio], the zinc project; is there any progress there?
Roque Benavides: There is no progress in [San Degorio] and we don’t foresee any progress in the upcoming future.
John Bridges - J.P. Morgan: Okay, thanks a lot.
Operator: We'll take a question from Alonso Aramburu with Santander.
Alonso Aramburu - Santander: Yes, good morning. Just a follow-up question on the voluntary contribution. I understand that this is a five year deal with the government, can you confirm that? And also whether -- you also mentioned the 19 million provision for Yanacocha. Have you made any provisions for your own direct operations and do you expect any hits there in 2007?
Roque Benavides: It is only for the next five years and the contract are being potentially finalized and we should be signing company by company with the government contract. The provision in the case of Buenaventura is -- Carlos?
Carlos Galvez: It's only 700,000 soles.
Roque Benavides: Per year.
Carlos Galvez: Well, the -- because we have to take away our royalties which is different. The purpose of this voluntary contribution is to, their voluntary contribution for those companies that have tax stabilization agreements basically. And that is why --
Roque Benavides: And it is important also to mention that at Congress in Peru, there were the alia of imposing willful profit -- willful profit tax and this was an alternative to that. Part of the agreement with the government is that as we accept this voluntary contribution, there will be no willful tax on mining.
Carlos Galvez: On the other hand, one part of this agreement is that there is a level of prices, a minimum level of prices to pay these contribution, which is going to be financed, managed (inaudible), which is important.
Roque Benavides: But, by the mining company.
Carlos Galvez: And we are just talking about the minimum price that we are going to fix in order to sustain the contribution, these voluntary contributions if eventually goes below that.
Alonso Aramburu - Santander: And when do you expect the first contribution to be make and the communities to see this contribution from the mining company?
Roque Benavides: The idea is to pay the first contribution in January on basis of the year '06 results.
Alonso Aramburu - Santander: Okay, thank you.
Operator: (Operator Instructions). We'll take another follow-up from Rafael Urquia with Citigroup.
Rafael Urquía - Citigroup: And just a very brief question. Regarding the contributions from Buenaventura's control operations; I had idea that these operations were already paying royalties.
Roque Benavides: Yes.
Rafael Urquía - Citigroup: So, my question is, why would these mines would have to pay this voluntary contribution?
Roque Benavides: The voluntary contribution of 3.75% on net taxes -- on net income, gets a deduction of whatever royalty you pay. Buenaventura is paying royalties and we will deduct, that is the reason why the amount that Buenaventura will be paying as a voluntary contribution is so small.
Rafael Urquía - Citigroup: Okay. Thank you very much.
Operator: And at this time, we have no more questions. Thank you. I'd like to turn the conference back to Mr. Benavides for concluding remarks.
Roque Benavides: Thank you very much to all of you for attending this conference call. We certainly appreciate being in contact with all of you and please feel free to call on us if you have any further questions, and certainly we'll try our best to continue improving our operations. Thank you very much and good morning.
Operator: That does conclude today's conference. Thank you for your participating. You may now disconnect.